Operator: Hello, thank you for standing by and welcome to the Second Quarter 2022 TransDigm Group Incorporated Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded.  I would now like to hand the conference over to your speaker today, Jaimie Stemen, Director of Investor Relations. Please go ahead.
Jaimie Stemen: Thank you. And welcome to TransDigm's fiscal 2022 second quarter earnings conference call. Presenting on the call this morning are TransDigm's President and Chief Executive Officer, Kevin Stein; Chief Operating Officer, Jorge Valladares; and Chief Financial Officer, Mike Lisman. Please visit our website at transdigm.com to obtain a supplemental slide deck and call replay information. Before we begin, the company would like to remind you that the statements made during this call, which are not historical in fact are forward-looking statements. For further information about important factors that could cause actual results to differ materially from those expressed or implied in the forward-looking statements, please refer to the company's latest filings with the SEC available through the Investors section of our website or at sec.gov. The company would also like to advise you that during the course of the call, we will be referring to EBITDA, specifically EBITDA as defined, adjusted net income and adjusted earnings per share, all of which are non-GAAP financial measures. Please see the tables and related footnotes in the earnings release for a presentation of the most directly comparable GAAP measures and applicable reconciliations. I will now turn the call over to Kevin.
Kevin Stein: Good morning from Cleveland, and thanks for calling in today. First, I'll start off with the usual quick overview of our strategy, a few comments about the quarter, and discussion of our fiscal 2022 outlook. Then Jorge and Mike will give additional color on the quarter. To reiterate, we are unique in the industry in both the consistency of our strategy in good times and bad, as well as our steady focus on intrinsic shareholder value creation through all phases of the aerospace cycle. To summarize, here are some of the reasons why we believe this: About 90% of our net sales are generated by unique proprietary products. Most of our EBITDA comes from aftermarket revenues, which generally have significantly higher margins and over any extended period have typically provided relative stability in the downturn. We follow a consistent long-term strategy, specifically. We own and operate proprietary aerospace businesses with significant aftermarket content. We utilize a simple well-proven value based operating methodology. We have a decentralized organizational structure and unique compensation system, closely aligned with shareholders. We acquire businesses that fit this strategy and where we see a clear path to PE like returns. Our capital structure and allocations are a key part of our value creation methodology. Our longstanding goal is to give our shareholders private equity like returns with the liquidity of a public market. To do this, we stay focused on both the details of value creation, as well as careful allocation of our capital. As you saw from our earnings release, we had another good quarter, considering the market environment. We continue to see recovery in the commercial aerospace market and are encouraged by the trends in air traffic among other factors. Our Q2 results show positive growth in comparison to the same period in 2021, as we are lapping the second fiscal quarter of 2021, which was heavily impacted by the pandemic and then relative availability of vaccines. Although our results have improved, they continue to be unfavorably affected in comparison to pre-pandemic levels as the demand for air travel remains depressed. However, the continued steady improvement in global air traffic is encouraging. There was a slight pullback in flight traffic in January as a result of the Omicron variant after strong December holiday travel, but traffic has continued to progress forward since then. It further illustrates the pent-up demand for air travel and bodes well for the continued momentum of the commercial aerospace recovery throughout 2022. To date, the recovery has remained primarily driven by domestic leisure travel, though international travel is slowly moving as many governments across the world have softened or fully lifted travel restrictions. China continues to be a watch point as both international and domestic traffic in China is near COVID low's due to strict zero COVID policies limiting travel. In our business, we saw another quarter of sequential improvement in our total commercial aftermarket revenues and bookings with both up approximately 10% over Q1 of fiscal 2022. I am very pleased that despite this challenging commercial environment, our EBITDA as defined margin was 47.7% in the quarter. Contributing to this strong margin is the continued recovery in our commercial aftermarket revenues, as well as the careful management of our cost structure and focus on our operating strategy. This was achieved despite the Omicron variant impacting travel in the beginning of Q2 and the sharp drop off in China air traffic during the quarter. Additionally, we continue to generate cash in Q2. We had operating cash flow generation of almost 90 million and closed the quarter with a little over 4.2 billion of cash. We expect to steadily generate significant additional cash throughout the remainder of 2022. Next, an update on our capital allocation activities and priorities. I am happy to report that during Q2, we opportunistically deployed 667 million of capital via open market repurchase of our common stock. This equates to approximately 1 million of our shares at an average price of $637 per share. We view these repurchases like any other capital investment and expect this will meet or exceed our long-term return objectives. Mike will address this more later. Also during the quarter, we agreed to acquire DART Aerospace for approximately 360 million in cash. DART is a leading provider of highly engineered unique helicopter solutions that mainly service civilian aircraft. DART is expected to generate approximately 100 in pro forma revenue for the calendar year ending December 31, 2022 and it fits well with our proprietary and aftermarket focused value generation strategy. The acquisition is currently expected to close during the second half of our fiscal 2022. Pro forma for the closing of the DART acquisition, we still expect to have a sizable cash balance of close to $4 billion. This assumes announced share repurchase and dark closing, which together allocates approximately 1 billion of capital for value generating investments. We continue to evaluate our capital allocation options regarding additional acquisitions, share buy backs and dividends. All three options remain on the table. Each individually, but then also potentially in some combination over the next nine months or so. Any significant M&A share buy back and/or dividend activity will still leave the company with substantial liquidity and the financial flexibility to deal with any currently anticipated capital requirements or other opportunities in the readily foreseeable future. We continue to look at possible M&A opportunities and are always attentive to our capital allocation. Both the M&A and capital markets are always difficult to predict, but especially so in these times. Regarding the current M&A pipeline line, we are actively looking for M&A opportunities that fit our model. Acquisition opportunity activity continues to accelerate and is approaching pre-COVID levels. We have a decent pipeline of possibilities as usual mostly in the small and midsize range. I cannot predict or comment on possible closings, we remain confident that there is a long runway for acquisitions that fit our portfolio. Now, moving to our outlook for 2022. We are still not in a position to provide full financial guidance as a result of the continued disruption in our primary commercial end markets. We continue to be encouraged by the recovery we have seen in our commercial OEM and aftermarket revenues and the strong bookings received for both thus far in fiscal 2022. At this time, we expect to reinitiate guidance on the November 2022 earnings call for our new fiscal year, assuming prevailing conditions continue to evolve favorably. We continue to expect COVID-19 to have an adverse impact on our financial results, compared to pre-pandemic levels throughout the remainder of fiscal 2022 under the assumption that both our commercial OEM and aftermarket customer demand will remain depressed due to lower worldwide air travel, although recent positive trends in commercial air traffic could impact us favorably. With regard to internal planning, our teams are now resource planning for commercial aftermarket revenue to grow ahead of the 20% to 30% sizing range previously provided. We expect our commercial OEM revenue to grow significantly as well, but at a rate less than the commercial aftermarket rate of growth. As you know, we aim to be conservative. As for the defense market, we still expect defense revenue growth in the low single digit percent range for fiscal 2022 versus prior year, despite the slow first half of the year. Jorge will provide more color on our defense end market. As you know, this end market can often be quite lumpy on a quarterly basis. We now expect full-year fiscal 2022 EBITDA margin to be approaching 48% due to the rate of commercial aftermarket recovery. We anticipate EBITDA margins will continue to move up throughout the second half of our fiscal year. As a note, this margin guidance includes the unfavorable headwind of our Cobham acquisition of about one half of a percent this year. We believe we are well-positioned for the second half of fiscal 2022, as usual, we'll closely watch the aerospace and capital markets and see how they develop and react accordingly. Mike will provide details on other fiscal 2022 financial assumptions and updates. Let me conclude by stating that I'm pleased with the company's performance in this period of gradual recovery for the commercial aerospace industry and with our commitment to driving value for our stakeholders. We remain focused on executing our operating strategy in managing our cost structure as we continue on this path to a full recovery of the commercial aerospace industry. We look forward to the remainder of fiscal 2022 and the opportunity to continue to create value for our stakeholders through our consistent strategy. Now, let me hand it over to Jorge to review our recent performance and a few other items. 
Jorge Valladares: Thanks, Kevin. I'll start with our typical review of results by key market category. For the remainder of the call, I will provide color/commentary on a pro forma basis compared to the prior year period in 2021. That is assuming we own the same mix of businesses in both periods. Any acquisitions are included in both periods and the impact of any divestitures is removed in both periods. In the commercial market, which typically makes up close to 65% of our revenue, we will split our discussion into OEM and aftermarket. Our total commercial OEM revenue increased approximately 28% in Q2, compared with the prior year period. Bookings in the quarter were strong, compared to the same prior year period and again significantly out pays sales.  Sequentially, bookings improved almost 10%, compared to Q1 with sales improving almost 15%. While we expect demand for our commercial OEM products to continue to be reduced in the short-term, we are encouraged by build rates gradually progressing at the commercial OEMs. Now moving on to our commercial aftermarket business discussion. Total commercial aftermarket revenue increased by approximately 46% in Q2 when compared with the prior year period. Growth in commercial aftermarket revenue was primarily driven by increased demand in our passenger sub market, which is our largest sub market, although all of our commercial aftermarket sub markets were up significantly compared to prior year Q2. Sequentially, total commercial aftermarket revenues and bookings both grew by approximately 10%. Commercial aftermarket bookings were up this quarter, compared to the same prior year period and Q2 bookings strongly outpaced sales. To touch on a few key points of consideration, global revenue passenger miles remain depressed. There was a modest sequential decline in revenue passenger miles in January due to the Omicron variant and a tough comparison to December holiday travel. However, revenue passenger miles have continued to improve since January. The limited impact on air travel from the Omicron variant along with the Russia Ukraine conflict, which began at the end of February demonstrates the strong underlying demand and willingness of passengers to travel. This provides optimism for the pace of the recovery of air traffic in the remainder of 2022. IATA also recently stated that based on the current recovery momentum, they expect passenger traffic to return to pre-pandemic levels in 2023, which is a year earlier than previously forecast. The recovery in domestic travel continues to be more resilient than international. In the most recently reported IATA traffic data for March, domestic air travel was only down 23%, compared to pre-pandemic, while international travel was down about 5%. The U.S. and Europe continue to show strong demand for domestic travel, although China has been more volatile due to its zero COVID policies, which caused localized lockdowns and rapid drop-offs in air travel. Though the pace of the international air traffic recovery has been slow, it is steadily progressing and we're hopeful for improvement in international travel in the remainder of 2022. Many of the government imposed travel restrictions have softened or lifted entirely, which is encouraging. Global cargo volumes continue to be strong, although air freight demand has tempered a bit recently. This trend could continue as the year progresses, due to unfavorable impacts on air freight from the lockdowns in China and the Russia Ukraine conflict, time will tell. Business jet utilization remains robust. Commentary from Business jet OEMs and operators remains positive and these higher levels of Business jet activity appeared likely to continue in the near-term. Now, let me speak about our defense market, which traditionally is at or below 35% of our total revenue. The defense market revenue, which includes both OEM and aftermarket revenues decreased by approximately 2% in Q2 when compared with the prior year period. As we've said many times, defense sales and bookings can be lumpy. Similar to Q1, our teams continue to be challenged with supply chain induced delays in fulfilling orders. The supply chain issues primarily around the lack of availability of electronic components. Our operating units are actively pursuing mitigating actions to overcome these issues. Our defense order book remains strong and bookings this quarter improved 30% sequentially versus Q1. We expect our defense business to expand throughout the remainder of the year. As Kevin mentioned earlier, we continue to expect low-single-digit percent range growth in fiscal 2022 for our defense market revenues. I'd like to finish by recognizing the strong efforts of our teams and continuing to overcome the negative impacts of the pandemic and supply chain disruptions. We remain focused on our value drivers and meeting the increased demand for our products. With that, I'd like to turn it over to our Chief Financial Officer, Mike Lisman.
Mike Lisman: Good morning, everyone. I'm going to quickly hit on some additional financial matters for the quarter and also our expectations for the full fiscal year. First, in regard to profitability for our second quarter, EBITDA As Defined of about 633 million for Q2 was up 22% versus prior Q2.  EBITDA As Defined margin in the quarter was approximately 47.7%. This represents year-over-year improvement in our EBITDA As Defined margin of about 420 basis points versus Q2 of last year. Sequentially, the margin increased by 40 basis points versus last quarter and we expect this improvement to continue for the balance of the fiscal year. Next, a few additional comments on select financial metrics for the quarter and again also the full-year. Organic growth was 15% for the quarter, driven by the rebound in our commercial OEM and aftermarket end markets. On taxes, we're revising our expected adjusted tax rate for this fiscal year downward slightly to a range of 24% to 26%. Our GAAP and cash tax rates guidance is unchanged and still expected to be in the 21% to 23% range. Moving over to cash and liquidity, we had another quarter of positive free cash flow. Free cash flow, which we traditionally define at TransDigm as EBITDA As Defined less cash interest payments, CapEx and cash taxes was roughly $222 million. As noted in the press release, this amount was slightly lower this quarter, but this is just timing. Specifically, due to the quarter-end date of April 2, we picked up an extra cash interest payment that was made on April 1. In addition, we had higher cash tax payments in the quarter. As we mentioned before, cash tax payments, and cash interest payments can be lumpy across the quarters. For the full fiscal year, our free cash flow guidance is unchanged from the November earnings call. That is, we still anticipate free cash flow to be in the 1 billion area for the fiscal year, maybe a little better. As Kevin mentioned, we used $667 million of cash to repurchase shares during the quarter at a weighted average purchase price of about 637 per share and ended the quarter with 4.2 billion of cash. In total, we repurchased about 1.05 million shares and did it through an open market repurchase program. We view and model these share repurchases just like any other capital investment such as the acquisition of a new business, and expect the similar rate of return. Additionally, in the 10-Q that is filed later today, you'll see that our strong sales rebound resulted in networking capital being a 130 million use of cash this quarter. This resulted in less cash being booked to our balance sheet than in prior quarters. As mentioned previously, we have the cash to fund this investment and we're glad to see our primary commercial end markets rebounding and therefore driving this need. As we continue to recover from COVID’s impact on our travel, and recover to 2019 global activity levels, we'd expect an additional 200 million to 275 million of cash to go back into networking capital. The timeline over which this will happen remains uncertain, but should generally track the recovery. Moving on to leverage levels. Our net debt to EBITDA ratio is currently at 6.6x, down from 8.2x at its peak at the end of our fiscal 2021 second quarter. We expect to continue running free cash flow positive for the balance of our 2022 fiscal year barring any additional capital markets activities such as dividends or share repurchase, our net debt-to-EBITDA ratio will keep ticking down as the year progresses. We are watching the rising interest rate environment closely. We remain 85% hedged on our 20 billion gross debt balance through a combination of interest rate caps and swaps that go out through calendar year 2025. This provides us adequate cushion against any rise in rates. We have included a supporting sensitivity table in today's slide deck that shows you what our annual cash interest expense will be at a range of three month LIBOR values. In summary, from an overall cash liquidity and balance sheet standpoint, we remain in good position and well prepared to withstand the still depressed, but now rebounding commercial aerospace environment for quite some time. With that, I'll turn it back to the operator to kick off the Q&A.
Operator: Thank you.  Our first question comes from Robert Stallard with Vertical Research. You may proceed with your question.
Robert Stallard: Yes, thanks so much and good morning.
Kevin Stein: Good morning.
Robert Stallard: Kevin, I just wanted to follow-up on your comments on China and what sort of percentage revenue exposure you're having there or have there already at the moment? And also if there is any sort a short-term impact you've already experienced in terms of bookings from this impact of the COVID locked?
Kevin Stein: So, China and bookings commentary, China, well China is in our numbers now. Obviously, we've seen depressed flight activity in China. Although Asia is starting to show some green shoots, of activity in the rest of Asia. So, remain encouraged there. This should be some, sort of upside for us, hard to gauge how much as the future unfolds as China starts flying domestically and internationally. On bookings, I think we remain encouraged on – aftermarket bookings continue to increase and so do OEMs, so does the defense, defense had very strong bookings as you heard Jorge comment on. It's why we remain confident and optimistic on the year for defense spending.
Robert Stallard: That's great. Thank you.
Operator: Thank you. Our next question comes from Noah Poponak with Goldman Sachs. You may proceed.
Noah Poponak: Hi, good morning everyone.
Kevin Stein: Good morning.
Noah Poponak: Your aerospace aftermarket growth has now exceeded the industry average for a few quarters in a row coming off the bottom and that was after declining very in-line with the industry average on the way down. Can you also, I guess compared to flight activity that's true as well. So, can you spend a little bit more time on why your aerospace aftermarket business is growing faster than the end market right now and how sustainable that is?
Kevin Stein: I think that orders and shipments can be lumpy. The supply chain is not efficient. I don't have any exact commentary on why we might be outperforming today. I know at times we can appear to outperform and at times underperform, it's just the inefficiencies of the market. 
Noah Poponak: Okay. Fair enough. And Kevin, could you spend a little bit more time on how you're thinking about capital deployment at the minute? I mean, I know you touched on in prepared remarks, but with the share repurchase, how do you think about the size of that that's appropriate and how do you balance the decision of that versus the special dividends that you've done in the past?
Kevin Stein: Well, we've historically done share repurchases. It has happened in the past sizable repurchases. We're looking at this, as I said in my comments, opportunistically, as a way to get capital back out to the shareholders. We're not thinking about it any differently. We're evaluating all options on the table. There are M&A opportunities and when we determine that the time is right, we will move forward with other capital deployment in terms of M&A deals or share repurchase dividends. There's no magic formula to decide which will do, it's kind of as we decide as we go, but everything's on the table right now.
Noah Poponak: Are there prospects for sizing that up given you've brought the leverage down and in the scenario where there is not deal activity, say through the end of the year, would you look at even larger repurchases?
Kevin Stein: Well, we have pre-authorization from the Board to go to. I believe 2.2 billion in share repurchases. We've used 667 million of that, I think it depends on the opportunities that come along. Again, we model this just like an acquisition and we see similar returns. We're evaluating all options. I can't comment much more than that. We want to ensure we have enough dry powder to do any deals that we see coming along of any sizable extent.
Noah Poponak: Okay. Thank you. Appreciate it.
Operator: Thank you. Our next question comes from Robert Spingarn with Melius. You may proceed with your question.
Robert Spingarn: Hey, good morning. Kevin, what's the latest on the labor side, both recruiting and attrition, and to what extent is this a constraint?
Kevin Stein: Yes, I'll take that, Rob. From our perspective, we're seeing some pressures at the lower levels of direct labor in general. As most of you know, most of the labor requirements really are driven by the commercial OEM, so we think we're properly resource to support the improvement in the commercial aftermarket. I wouldn't say that we've seen any significant uptick in turnover on the engineering staff, it's a little bit more of a competitive marketplace. But as always, we're going to be cautious in adding back resources as it's still a little bit of a dynamic situation.
Robert Spingarn: Okay. And then just Kevin, at a high level on defense, has your long-term outlook for defense sales growth and the low single digits changed given the latest defense budgets and obviously, the evolving National Security Environment in Europe and elsewhere?
Kevin Stein: Well, I think we're optimistic about defense budgets in the future. It obviously takes a while for that to trickle down to us as a component supplier, but we do see a favorable environment shaping up for us in the future on defense.
Robert Spingarn: Okay. Thank you.
Operator: Thank you. Our next question comes from Myles Walton with UBS. You may proceed.
Myles Walton: Hey, good morning. I was wondering, Kevin, you said that your commercial aftermarket would track ahead of the targeted 20% or 30% range, it looks like if you just maintained flat for the rest of the year, you're closer to 40%, do you want to put a new bogey out there or is it just greater than what you previously said?
Kevin Stein: Yes, I think I said to that we want to say on that, we're not giving guidance. I did say in my prepared remarks that we would – we see outperforming that 20% to 30% resource planning target. We are not – the market isn't so stable right now that we're going to go out on a   and communicate higher where we tend to be conservative in our guidance and there is still book and shift that has to happen. So, we're sticking with, you know we're going to outperform the 20% to 30% that we initially gave at the year, but not put a finer point on it right now.
Myles Walton: Okay. Any reason to think sequentially you can't grow? And then the other question is just on pricing, what's the base level inflation you're currently passing through? I’m not asking about your net price, just sort of your base level inflation benchmark? Thanks.
Kevin Stein: Well, pricing we don't comment on specifics. Our goal is that we need to overcome inflation. Inflation as you've seen from CPI values is running very high historically over many decades. It is a focus and what part of our job is to evaluate and to pass along the inflationary pressures that we see. So far, we have been successful in doing that.
Myles Walton: Okay. Alright. Thanks.
Operator: Thank you. Our next question comes from Gautam Khanna with Cowen. You may proceed. 
Gautam Khanna: Hey, thanks. Good morning, guys.
Kevin Stein: Good morning.
Gautam Khanna: I was wondering on the defense side, you saw the big pickup in bookings was it sort of broad based, was it isolated to a couple of product areas. I know you've talked about it as being lumpy in the past, but how representative of ongoing demand do you think the quarter’s bookings were?
Kevin Stein: Yes. We think it was in general broad based in nature. There wasn't one or two specific programs driving that. In general, we saw the pickup with the passage of the DoD budget throughout the quarter. So, we expect that there may be a little bit of catch up that the DoD and DLA are playing there with that delay.
Gautam Khanna: Interesting. And then, do you then expect that because some of these funds have to be put on contract by the fiscal year end of the government will see sustained bookings in the next, are you still seeing that if you will that trend has continued into the third fiscal quarter and would you expect it to?
Kevin Stein: In general, these can be lumpy. So, we're not in a position to comment on whether we're seeing any increases right now and what we hope we're being cautious here, but time will tell. 
Jorge Valladares: I think we're seeing an uptick in aftermarket defense out 
Kevin Stein:  weighted towards the market. That's fair.
Gautam Khanna: Okay. I’ll leave it there. Thank you.
Operator: Thank you. Our next question comes from David Strauss with Barclays. You may proceed.
David Strauss: Thanks. Good morning. Kevin, just to level set, there’s is been some acquisitions, some divestitures, is your commercial transport aftermarket still down about 15%, 20% from kind of pre-pandemic levels? Is that the right level?
Kevin Stein: We aren't splitting out the pieces. All of the key market segments have gone up and are doing better. We're not splitting out the segments. That activity though has, I think increased the most in any of the sub markets so far.
David Strauss: Okay. And what about, you talked about passenger being the strongest, what are you seeing on the interior side?
Kevin Stein: Interiors has also improved quite surprisingly. The only, I think as Jorge touched on, the only sector that is still growing, but starting to slow its growth a little bit was the freight as we've already heard there would be some slowdowns, but interiors, all of the sub markets are up until the right. It's the first time I think we've seen something that pronounced across all of the sub markets.
David Strauss: Okay. And Mike, the lost amortization, how does that play out over the next year? Does it kind of hold at these levels or does that start to start to bleed off?
Mike Lisman: Sorry, the lost contract amortization from the  acquisition? It starts to bleed down. I think you probably remember when we came out with it. We expect something in the area of $30 million to $40 million a year or so and it trails off. So, as we get further out, you're right, that amount will continue coming down. And then it ends about five years post deal, completely.
David Strauss: Okay. Great.
Kevin Stein: Well, you'll see that continue to trend down a bit.
David Strauss: Okay. Got it. Thank you.
Operator: Thank you. Our next question comes from Ken Herbert with RBC Capital Markets. You may proceed.
Ken Herbert: Hey, Kevin, good morning. I just wanted to follow-up on the aftermarket bookings comment. Is it fair to assume from your comments that you probably saw some of the softness in cargo related bookings in the quarter relative to transport or Business jets and helicopters or can you parse-out the bookings for the aftermarket in the quarter any further?
Jorge Valladares: Hey, Ken. This is Jorge. I'll take this one. Yes, in general, as we've noted, we saw decent recovery across all the sub markets. There wasn't any specific concentration in any particular market and we’re cautiously optimistic that that will continue. As you know, we don't get any visibility to the inventory levels at the airlines.
Ken Herbert: And how are you viewing inventory levels maybe across the industry either with your own operations at distributors? And then of course, it's sounds like your  , you don't how much visibility, but how do you view inventory levels of the distribution and your own shop floors?
Jorge Valladares: Yes, we have limited views on inventory at distribution. I think, in general, we believe that the destocking cycle is kind of running out of gas and everyone is hopeful with the commentary from the airlines on a busy summer travel season and trying to prepare accordingly.
Ken Herbert: Great. Thanks, Jorge.
Operator: Thank you. Our next question comes from Matt Akers of Wells Fargo. You may proceed.
Matt Akers: Hey, good morning. Thanks for the question. Could you talk about the defense so the full year guidance implies, kind of a big acceleration in the back half on year-over-year basis, can you talk about what that looks like sequentially like Q2 versus second half? Just wondering if there's like a year-over-year comparison that makes that look bigger than it kind of really is?
Kevin Stein: Yes, I think we don't want to get into given quarterly guidance on defense revenue outlooks, but generally as Jorge mentioned, there were such strengths in the booking and as we look out over the next two quarters that we feel pretty confident that we're going to be able to hold a low single digit range for the year. So, Q3 and Q4 will be quite a big ramp up to your point, but in terms of forecasting how big each quarter? I don't think we want to get on the quarterly the expectations…
Mike Lisman: But with defense bookings up 30%, clearly that's why we're still sticking with what we communicated at the beginning of the year. As Jorge alluded to, the budget just being signed, things are opening up a bit, we'll see.
Matt Akers: Got it. Thanks. And then I guess the supply chain disruptions there within  you kind of touched on this earlier, but are those – are there signs that those are easing and does that need to, kind of get fixed to hit that guidance or is there upside there if those get better? 
Kevin Stein: Yes. I mean as I noted, primarily what we're seeing are difficulties on the electronic components. We would anticipate there's probably still some headwinds, excuse me and challenges in the second half, but we do expect with six months to go that we’ll be able to clear fair amount of those. The teams are working the details daily and communicating with the customer base. So, we think we can get there by the end of the year.
Matt Akers: Okay. Thank you.
Operator: Thank you. Our next question comes from Seth Seifman with JPMorgan. You may proceed. 
Seth Seifman: Hey. Thanks very much and good morning.
Kevin Stein: Good morning.
Seth Seifman: Kevin, when you think – how should we think about the role of being opportunistic in terms of the amount of share repurchase you're going to do from here to gather that, call it that outlook for the company probably hasn't changed very much from what it was in the March quarter. And the stock market is just doing all kinds of weird stuff right now. So, I'd imagine that return proposition in your guys probably looks better today. So, should we expect you to continue to be very opportunistic in that regard or is there just a lot more to think about in terms of balancing that with other potential uses of the cash?
Jorge Valladares: I think we – I'll let Mike chip in on this as well. We will be opportunistic. We will keep all the options on the table. As we said, clearly the return would be better at this share price. We remain very bullish on the business. So, as we see the market recovery. Mike, do you want to add anything to that?
Mike Lisman: We're always looking at all options, every week, everything's on the table.
Seth Seifman: Right. Okay, okay, great. And then I guess just as far as M&A opportunities, you guys have made at times acquisitions in Europe and with the increase in defense spending there, does that become a place where you might spend a little bit more time looking for opportunities or not so much?
Kevin Stein: We actively look for opportunities around the world. Certainly in Europe, we're always evaluating opportunities. I don't think we want to be, grow defense exposure. We're a commercial aerospace company and we will continue to look for those opportunities and value them generally higher than defense opportunities, but all options are open on the table including in Europe where we've had excellent luck doing acquisitions.
Seth Seifman: Great. Thank you very much.
Operator: Thank you. Our next question comes from Kristine Liwag with Morgan Stanley. You may proceed.
Kristine Liwag: Hey, good guys.
Kevin Stein: Good morning.
Kristine Liwag: When we started looking at air traffic, it seems like it's starting to pick up. International travel starting to open up to, and in this quarter, we saw the engine guys post after-market growth of above 20%, 30%, how are you guys thinking about the opportunity in other parts of the aftermarket where you're not as present? For example, the opportunities in engine PMAs, how are you thinking about those things? Do those become more attractive in environments like today?
Kevin Stein: We are not a big PMA player. We are heavily a engineered product developer. So, I'm not sure we're looking at getting out of our comfort zone or the products that we make to get into other areas of aerospace unless acquisitions lead us there.
Kristine Liwag: I see. That's really helpful context. And maybe if I could do a follow on, I mean, Kevin, in a rising interest rate environment, if we're going to be here for longer, how do you think about the sustainable leverage for the business? Do you have a target in mind?
Kevin Stein: I would just say, and I'll let Mike jump in that even in this rising interest rate environment, it's still historically very low interest rates. So, there's a long way for us to go. It's not changing my mentality around capital allocation or debt? Mike, do you have…?
Mike Lisman: No, I think that's right. And we're hedged as you guys know too. So, the near term impact of any rise in rates is somewhat muted just by the impact, the offsetting impact of the hedges. 
Kristine Liwag: Great. Thanks Kevin. Thanks Mike.
Kevin Stein: Sure.
Operator: Your next question comes from Peter Arment with Baird. You may proceed.
Peter Arment: Yes. Good morning everyone. Mike, I want, maybe just a clarification on the working capital comment you made, the 200 million to 275 million kind of going back in the networking capital, you're saying kind of attracts to commercial markets, so we've seen a big recovery for you. How – what's the right way to be thinking about that? Is it spread over multiple quarters or we see that come in stronger in the second half of this year?
Mike Lisman: I think it'll be spread over multiple quarters and it's hard to say, right? It sort of attracts the revenue and where we go with the end markets and things have been so lumpy there that it's hard to pinpoint exactly where working capital is going to go, but there's still 200 some that will have to go back into working capital when you look at the receivables, inventory, and payables balances. That's how we look at it. From peak-to-trough, we were down about 400 million during COVID, so somewhere on the order of like 130 million or so or 150 million or so has gone back in to date, but we've still got 200 to 275 more to go and the pace over which it happens, we'll see, right. It depends on how commercial recovers.
Peter Arment: That's really helpful. And then just related to that, I guess, Kevin, do you see yourself just more strategically carrying a little more inventory just because of the supply chain comments you guys have talked about with the electronic side?
Kevin Stein: We've certainly encouraged our teams not to skimp on inventory in this environment that not having necessary inventory and not being able to complete a sale is not acceptable. So, if we need a little bit extra to help us bridge through this time, we've certainly told our teams to look at those options.
Peter Arment: Appreciate all the color. Thanks.
Operator: Thank you. Our next question comes from Pete Skibitski with Alembic Global. You may proceed.
Pete Skibitski: Good morning, everyone. Just one for me. Can you guys talk a little more, just about kind of the relative risks and opportunities with regard to your adjusted margins next year or so because it seems like now for this year, you're only, call it a point or so below prior peak? And certainly you've got volumes on your side going forward, maybe you talk about the magnitude of the mix shift necessary to keep margins flat or should we be pretty confident that you're going to break through prior peak?
Kevin Stein: You know, it's hard to say and I think we'll give guidance when we go back to giving guidance as far as next year goes, but generally you guys know the way we like to run the business. We should always see our margins given some stability in the end markets, March upward each year. By exactly how much is just hard to say, given where commercial aftermarket is, and how the mix shift there can impact your margins, but generally obviously should trend upward, but at this point, I don't think we want to say by how much, hard to do.
Pete Skibitski: Okay. No, thanks for the color.
Kevin Stein: Operator? Did we lose our operator?
Operator: Thank you. Our next question comes from Michael Ciarmoli with Truist Securities. You may proceed.
Michael Ciarmoli: Hey good morning guys. Nice results.
Kevin Stein: Good morning. Sorry about that.
Michael Ciarmoli: No worries. Maybe Kevin, just to kind of go back a little bit to Noah’s line of questioning and even maybe dovetail kind of Myles’ questioning on pricing. I mean, do you guys think you're outperforming due to having better pricing practices than your peers and there's been some chatter out there I guess from some of your customers that you guys are considering a mid-year price hike, do you think if that's the case, do you think you're seeing some ordering ahead of that price hike, and I don't know if it's called restocking, but maybe airlines customers just trying to trying to get in under that. If that's, if you can comment?
Jorge Valladares: Yes, Michael, this is Jorge. I'll take that one. In general, we don't provide specifics about our pricing. Our long-standing approach has been to get real prices above inflation. Obviously, we're generally in a higher inflationary environment and the goal is still the goal. So, we're trying to get some real prices increases above that inflationary level. And that's how we approach it.
Michael Ciarmoli: Got it. Got it. And then any thoughts on, I know it kind of came up, but thoughts on airlines, restocking, I mean, it seems with supply chain tightness, everybody is looking to have some inventory on-hand, so not necessarily over ordering, but do you think there's a little bit of that going on in the marketplace to kind of have that buffer stock available?
Kevin Stein: I think in general terms as supply chain issues arise in any industry, right, and any good buyer would try and get some inventory on the shelf to what extent airlines, distributors are doing that, we just don't have enough visibility there.
Michael Ciarmoli: Okay. Fair enough. Thanks guys. Appreciate it.
Operator: Thank you.  Our next question comes from  with Jefferies. You may proceed.
Unidentified Analyst: Hi guys, good morning. Just on  , you were up pretty significantly quarter-over-quarter, but when we look at what the OE’s have been saying is pretty  but the Max is expected pretty steady around 31 per month and ongoing headwinds for the 787, is there opportunity for sequential improvement from here or how do we think about that business?
Jorge Valladares: Yes. I think in general, as Mike commented earlier, we don't provide any guidance on a quarter-to-quarter basis. Obviously Boeing recently announced their expectations in terms of increasing the 737 Max production rate, I think later this quarter, and they continue to work with the FAA in resolving the outstanding issues on the 787. But across our entire business space, everyone has different lead times and where they may enter and see those future rate increases depends by business.
Unidentified Analyst: Okay. And just on the supply chain in the commercial side of the business, is there any area where longer lead times may limit growth?
Jorge Valladares: Right now, we don't see any issues supporting the growth on the commercial side. It's been a little bit more concentrated on our defense businesses, and again towards electronic components, the teams have been pretty active over the prior couple of quarters trying to adapt and adjust their MRP’s as they need to plan for additional supply and anything that might happen, but we do not see that limiting our growth prospects at all.
Unidentified Analyst: Thank you.
Operator: Thank you. And I'm not showing any further questions at this time. I would now like to turn the call back over to Jaimie Stemen for any further remarks.
Jaimie Stemen: Thank you all for joining us today. This concludes today's call. We appreciate your time and have a good rest of your day.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.